Operator: Good day, ladies and gentlemen. My name is Patrick, and I will be your conference operator today. At this time, I would like to welcome everyone to the NXT Energy Solutions Q1 2018 Operating and Financial Results Conference call. [Operator Instructions]
 I would now like to turn the meeting over to Mr. George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, Mr. Liszicasz. 
George Liszicasz: Thank you very much, Patrick. I would like to welcome and thank everyone for joining us today for NXT Energy Solutions first quarter 2018 Financial and Operating Results Conference Call. This is George Liszicasz. And joining me today on this conference call is Jakub Brogowski, VP, Finance and Chief Financial Officer; Rashid Tippu, our Chief Geophysicist, responsible for operations in Africa, Europe and Middle East and Far East. Also with us is Enrique Hung, our Director of Latin America Business Development actually.
 The purpose of today's call is to briefly discuss the highlights of this morning's Q1 2018 results release and update on our business activity over the first quarter. Following our update, we will be opening the line for questions. Please note all statements made by the company and management during this call are subject to the reader's advisory set forth in our first quarter results press release and MD&A issued this morning before market opened.
 All dollar amounts discussed in today's conference call are in Canadian dollars unless otherwise stated. The complete financial and operating results and unaudited financial statements for Q1 2017 (sic) [ 2018 ] were published this morning and available on NXT's website as well as both SEDAR and EDGAR websites.
 I would like to begin briefly by stating that it was a very active and exciting first quarter of the company. Following the initial closing of $4.3 million from our total $10 million private placement in mid-February, we were able to restart business development and marketing activity for our SFD technology. Coupled with further strength and recovery in global oil markets, we are seeing renewed interest in global exploration activities and renewed interest from oil companies and governments in process and technologies, which can support these efforts. This has translated into renewed interest in SFD, which I will speak more shortly.
 Before I hand over the call to Jakub to provide an overview of our financial results for the quarter, I would like to provide 2 other important updates from our press release this morning. The first is for our private placement with Alberta Green Ventures. As everyone knows, we closed the first tranche $4.3 million in February. We are now closing $2 million for the second tranche, and will issue an update before market open tomorrow. The remaining $3.7 million, we are providing AGV, or Alberta Green Ventures, an extension to June 15, 2018. This will allow AGV to complete international fund transfers from investors, which have taken more time than we anticipated. We look forward to closing the remaining funds before or mid-June.
 The second is for our AGM. We will be issuing an addendum to our circular later this week. This will include information on the revised plan for closing our financing, supplementary information and executive and Board compensation and an update on the independence of one of the Board members. As a result, we felt it is prudent to give shareholders more time to review and consider information that will be -- and we'll be differing to our AGM until early June. We are currently confirming the date, and we'll provide a confirmation later this week. 
 Now I would like to turn it over to Jakub. 
Jakub Brogowski: Thank you, George, and hello to everybody on the line. As George mentioned, our Q1 2018 financial statements and management discussion and analysis were filed on SEDAR's website this morning. It will be available on EDGAR shortly. For the first quarter of 2018, our financial results were as follows. NXT did not record any revenues during the quarter. We had a net loss after tax of approximately $1.95 million or $0.16 per share based on 60.4 million weighted average common shares outstanding. The increase in our shares was the result of the closing of the first tranche of our private placement on February 16, 2018. We received just over 4.3 million. And as a result, we issued approximately 4.67 million units.
 Each unit consists of one common share and 1/3 of one common share purchase warrant. Each warrant entitles the holder to acquire 1 common share at an exercise price of $1.20 for 12 months from the February closing date or February 16, 2019. The total operating expenses excluding tax for the quarter were $1.97 million. This included noncash expenses of approximately $0.62 million related mainly to amortization, stock-based compensation expenses and the accrual of a 3% finders' fee related to the first tranche of our private placement.
 Operating activities used $1.34 million of cash during the quarter, and we had a net increase in cash of $3.6 million as a result of our closing of the first tranche of our private placement. We continue to see significant progress in our corporate cost reduction program over the quarter, with a year-on-year drop in expenses of 28%, while also maintaining spending in business development as we focus in this area to secure SFD contracts.
 The main driver for the lower cost was salaries, benefits and consulting charges due to reduction in corporate headcount. Overall, these were lower by 30% year-over-year. Focus was also put on reducing vacation liabilities. This was offset partially by engaging 2 agents in South America to leverage the company's experience and success in that region. Office and admin overhead were lowered by 34% in Q1 2018, mostly due to lower rental common area costs as actual property taxes and maintenance costs were significantly lower than estimated. In addition, there were no temporary staff in Q1 2018 and the overall reduced headcount, reduced overhead spending in several areas like supplies.
 Board, professional fees and public company costs were 14% lower in the first quarter of 2018 as the company terminated or renegotiated the contracts entered into with members of the company's advisory board, and had one less director during these comparative periods. Business development costs were approximately the same in both comparative quarters as the company continued to focus in this area.
 Bolivian overhead costs were down 81% and as a result of our activities to close that branch late last year and into the first quarter of 2018. We ended the first quarter with a significantly improved financial position with $4.06 million of cash on hand and a net working capital position of $2.7 million.
 Moving forward, we are continuing to seek areas where we can reduce costs and are also optimizing our expenditures towards business development activities to close on current contract negotiations and build our contract pipeline moving forward. 
 I'd now like to hand the call back over to George to further discuss our business update and forward plans. 
George Liszicasz: I would like to mention a couple of things. First, Jakub mentioned that we have lowered our costs in Bolivia by 81%. It doesn't mean that we abandon the business. Actually, we're just shifting the cost to other areas so that we don't have to pay as much. Second, potentially our business -- global business development person. Sajid Sayeed may be on the call already or may join us a little bit later. He had to leave and I apologize for that.
 So I would like to continue with the business update. We had a very active quarter for our business development team. With funds in place, we ramped up our business activity and spend over a month, marketing across Southeast Asia, China and Latin America, all core regions for NXT. Also with the Brent oil prices about $78 per barrel, today, as we are also encouraged by the significant increase in plant exploration activity globally and the resulting increased dialogue we are having with clients.
 Some key BD highlights, business development highlights. In Sri Lanka, our partner, Shine Quests FZC continues to work on the financial requirements for the large-scale infrastructure and resource development within the Mannar basin in Sri Lanka, which would include a commitment to conduct an SFD survey. In Aceh, the Northern Province of Indonesia, our partners, Generation Resources Discoveries entered into an MOU, as you know, with the government to conduct a major geophysical survey over the offshore basins of Aceh, covering approximately 20,000 square kilometer area and utilize SFD as the lead exploration tool. This is an exciting opportunity for the company to showcase the value of SFD in a regional market where Eni, Exxon, Repsol are the major operators. Upon securing of permits and the necessary third-party financing, NXT would enter into a formal contract for utilizing SFD in Aceh.
 We continued our technical presentations and are in advanced stages of contract negotiations in Malaysia with a number of independent oil companies. We engaged 2 new sales agents for SFD service in South America, focused in Mexico and Peru, to leverage our experience and past success in the region. In Brazil, the National Agency of Petroleum, ANP, successfully completed an exploration bidding grant in April and also confirmed that SFD surveying would qualify as we're credit toward the minimum fund -- to the minimum commitment required of licenses in order to maintain their awarded blocks. This means that SFD expenses would count towards planned work commitments, which is a very positive endorsement of the technology.
 NXT reached another important milestone in developing its SFD IP shortly after the end of the first quarter, with granting of its Chinese patent now on April 13, 2018. This coincided with important meetings in China's largest national oil companies, The Research Institute of Petroleum Exploration and Development and the Potential Field Research team at the China University of Petroleum. These important milestones will lay the foundation for SFD in these critically important regions for the global oil and gas sector.
 We have reinitiated discussions with senior government officials in West Africa regarding the utilization of SFD, and we are planning to present at the upcoming Dakar in Senegal, the Upstream West Africa Summit in June 2018. We are also engaged in a number of discussions regarding potential sales of our multi-client data from GoM, the Gulf of Mexico. This continues to be a region of global interest for exploration, and it is in line with our strategy of developing new revenue streams for our business this year.
 In conclusion, we are pleased to be able to ramp up business development activities during the quarter and encouraged by the strengthening global oil markets and increased exploration interest as a result. Our strategy continues to focus on securing contracts with potential clients, NOCs, governments and IOCs to identify large potential reserves in underdeveloped proven hydrocarbon basins and expanding revenue opportunities through new business lines, such as multi-client data sales and strategic partnerships. We have the right people and capital in place to generate significant value for NXT, NXT's shareholders in the incoming months and years.
 On behalf of our Board of Directors and the entire team of -- at NXT, I want to thank you, all shareholders, for their continued support. We believe the company's strategy is well positioned to deliver growth in 2018 and beyond.
 Now I would like to ask Patrick, our operator, to open up the line for us to take a few of your questions. Thank you. And I would like to ask if Sajid is online, if he is online? 
Jakub Brogowski: Okay, Patrick, if you're able to open up for questions, I think we're ready to go. 
Operator: [Operator Instructions] Our first question comes from a participant. 
Michael Mork: Was that me, Michael Mork? 
George Liszicasz: Hi, Mike. I believe, it is your voice. 
Michael Mork: Yes, I did. I don't know if it was me or somebody else. But anyway, my question is, how do you envision the transformation of your company from being a service company to actually participating in equity interest in what you find? Is this something that's going to happen next year, the year after? Could you actually start seeing the transition this year? 
George Liszicasz: We are working on it very diligently. There are several options on the table. And actually, I'm going to ask Jakub to continue. 
Jakub Brogowski: Yes, Michael, thanks for joining the call. I mean, I think the strategy is twofold. We have now the funding in place. So the company is very focused on closing down and executing on the negotiations that we've had ongoing for the last year and a bit. So things like Sri Lanka and moving forward with activities in places like Mexico.
 We are also very encouraged by the activity in Indonesia and Aceh and building out the multi-client cells. And I think as all these come together, they give us the opportunity to look at other contracts in a different way. So we are having some discussions on opportunities to look at things on a cost-plus basis where we would get paid the costs for our survey with a little bit of return, but in exchange for those types of opportunities what we would do is then take royalty interest or carries on wells. So we're looking at those types of opportunities, I would say, for the next stage of contracts in the business development pipeline.
 And then from a company perspective, overall, we are excited by those opportunities. We will continue to keep this as a company that has royalties or carried interest, but wouldn't do drilling capital itself. I think that would be reserved for the verticals where we would look to have an entity that has a technology services agreement with the company to engage in that kind of activity. But that's probably for the next stage of development after the first series of things that I spoke about. 
Michael Mork: Sounds good. And obviously, for stockholders, keeping the risk low as far as not participated in the drilling costs and whatnot is real important. 
George Liszicasz: I would like to add that Alberta Green Ventures is also taking a significant part in this process. They are talking about opening up an office in Houston in that regard to facilitate the building of the vertical opportunities. So that I just want everybody to know that. Also, I am delighted to say that Sajid is going to be able to answer some questions, he is dialing in as we speak, just in case you have any questions regarding our business development activities. 
Operator: So the next question comes from Peter Mork. 
Peter Mork: You guys get back-to-back more capital questions today. So I was wondering if you could elaborate -- I mean a lot of good detail in the press release and in the MD&A that came out. But just -- I don't know if Sajid is on the line yet, but maybe just in regards to some of the opportunities in Southeast Asia, I know Rashid is on the line, I'd love to hear an update there. And just in terms of the Gulf of Mexico, Enrique, just where is that out? It's been about -- that was flown about a year ago? And where are we at in that process in terms of potentially closing some deals? 
George Liszicasz: Sajid, are you on yet? Okay. I will start, and then I will ask Rashid because he was with us as well leading all the technical meetings and so on. We cannot go into too much details about those things. But at least maybe Rashid can talk to the effectiveness of those meetings, both in China and in Malaysia, in general, not mentioning specific companies. 
Rashid Tippu: Okay. Peter, yes, so, in general, this is like over a third follow-up meeting in Malaysia and also second meeting in China. So it was very well received, technically. Has -- and the people who are excited to see, like, we have some results over the Gulf of Mexico as well as we have patent documents available now. And even like purely technical geoscientist group, they really see value in SFD while they include an exploration work program. So that's what I can update you quick. 
Peter Mork: And you feel fairly well -- I mean, it's well received. I mean, in terms of the getting across the finish line, it's like the contracts, it's the positive response. I mean, you guys walked out confident. I know it's open line. So You've got to be cautious in what you're saying. But just to kind of give the shareholders a sense, it's been a while without a contract. So I'm just trying to get a feel for confidence level. Meetings went well, any detail you could give? 
Enrique Hung: Meeting went very well. And the technical, definitely the team leads and also the decision-maker was in a meeting. So definitely, decision-maker was looking towards the technical people and technical group has very well received our presentation. And not only presentation, even post presentation, we had a long discussion like 4 to 5 hours discussion even in China, so where they can see value. So now definitely, the decision-maker got a positive feedback from the technical group and, next, I think George can add into it. 
George Liszicasz: I would like to mention, maybe he doesn't want to say it because he doesn't know whether he can or not. But there are some opportunities now looking at multi-client surveys outside of China with some of the Chinese oil companies and also JVs with the largest seismic company in the world. So -- but they're also buying data in the Gulf of Mexico and so on. So we cannot -- I think that we are much, much closer now. But at the same time, we haven't signed it yet, but it is happening. 
Peter Mork: No, I get it. And then maybe that's a good segue into just kind of the Gulf of Mexico data. Where is the process at in general, like in terms of those blocks that were up for bid that you flew over last May, June? Are -- is seismic being shot on those? Is there still an active market for data over those blocks? Did you guys fly over additional -- I know all the flight lines are actually on the site, but are there new blocks coming up that you guys also flew over? Like where is the interest going to be driven for that data that you mentioned, could -- is it still in play to be resold? 
Enrique Hung: Thank you for the question. This is Enrique Hung. How are you? Yes, we had 15 blocks on the shallow bid ground. This is about 3,500 line kilometers and 15 blocks. But as you know, the exploration programs for these international companies that are participating, they have like 3 years to drill the first well and to do often studies. And they do have size, they have plenty of seismic. And the problem here or where SFD technology can help is the amount of data that they have on where to pick. And that's where we are aiming our effort and focus, telling the client and the scientists that are doing the work how to use our tool, why it's an advantage, how much money and time is saving for them.
 We also have a new agent that -- next week, we'll be meeting in Mexico. We're very close, and we have confirmed that we have an active contract with one of the companies in Mexico that will allow us to do service. This is the only thing in the international area and a service order. And we are following that very closely on a daily basis. So -- but these are very slow. As you know, the political environment there, they have elections coming on. So we're moving very fast. So next week, we'll be -- I'll be in Mexico, doing some meetings, and we will promptly respond to you. Same way, Peru is advancing very well. We have 3 weekly meetings with the agent, same as in Brazil. So things are moving on. 
George Liszicasz: Thank you very much. I would like to mention that Sajid is on online. Sajid, can you hear me? He couldn't get online. Any other questions? 
Operator: [Operator Instructions] We have a question from a participant. 
Sajid Sayeed: This is Sajid Sayeed. I'm sorry, I could not get to the other line, so I'm dialing into this one. So somehow, I'm glad that I got on. I just wanted to answer a little bit more, if you can all hear me about the data in Mexico with regard to PETRONAS and the contracts in Asia. 
 The question that you have, Peter, thank you for that. With regard to the data, there is still a good market for the data that we had shown. For instance, PETRONAS is looking at the data in Mexico because they have acquired all the data that there is, all those blocks, yet the layers of data is that complex and the geology is quite complex for them to understand what's happening.
 And another layer like SFD data could bring in a lot of value for them. It helps them focus into areas that we could point out to and expedite their G&G time. Hence, they have entertained us to come back again and show them the specifics of the data that we have shared. And thus, we had a meeting with PETRONAS, and we demonstrated what we have and they would be looking into specific areas of interest for them. 
 They have been mandated to invest heavily in Gulf of Mexico going forward. So the amount of data that we have amazed over the last few years is kind of, of great interest to them and they're looking into that. So therefore, that kind of answers the importance of the data and the validity of the data that's still there in the market.
 Having said that, with regards to Asia Pacific, a little bit more insight, and Indonesia is going through a major change in overall of their oil and gas program and what they're doing. And they've been looking into certain areas of interest and where they can change and attract oil and gas companies coming in. And we incidentally happen to be working with the province that's geared towards promoting their projects over there and the prospects, so they attract oil and gas companies. And having SFD as a lead technology to plan future data acquisitions and bid rounds is of great interest to them as well, which has been our strong point that we've been selling for a number of years that the timing has been perfect for us to be there and for them to entertain us with regards to what their plans are going forward with their oil and gas programs in those areas.
 So a number of prospects over there that we have been focusing on and we have been discussing with. However, we see a great potential, but there are a lot of changes, political changes and with regards to policies as well that we are right smack in the middle of it, and we are working with the authorities to get some traction. And we look forward towards some quick gains in the near future. And we've been working very hard. We've been traveling extensively and meeting with these officials to push these deals forward. Thank you. 
George Liszicasz: Sajid, thank you very much. Operator, any other questions? 
Operator: We do not have any questions. [Operator Instructions] No, there are no questions registered at this time. 
George Liszicasz: Okay. Thank you very much, everyone, to attend our Q1 2018 Investor's Conference Call, and thank you for your support. And we will be in touch with you again in Q2. Thank you again. Bye-bye. 
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.